Operator: Good afternoon. My name is Gerdie, and I will be your conference operator today. At this time, I would like to welcome everyone to the AspenTech First Quarter Fiscal Year 2014 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Mr. Mark Sullivan, CFO of Aspen Technology. Please go ahead.
Mark P. Sullivan: Okay. Thank you, operator. Good afternoon, everyone, and thank you for joining us to review our first quarter fiscal 2014 for the period ended September 30, 2013. I'm Mark Sullivan, CFO of AspenTech, and with me on the call today is Antonio Pietri, President and CEO. Before we begin, I will make the usual Safe Harbor statement that during the course of this call, we may make projections or other forward-looking statements about the financial performance of the company that involve risks and uncertainties. The company's actual results may differ materially from such projections or statements. Factors that might cause such differences include, but are not limited to those discussed in today's call and in our Form 10-Q for the first quarter fiscal year 2014, which is now on file with the SEC. Also, please note that the following information is related to our business -- current business conditions and our outlook as of today, October 29, 2013. Consistent with our prior practice, we expressly disclaim any obligation to update this information. The structure of today's call will be as follows. Antonio will begin with an overview of his strategic priorities as CEO and discuss business highlights from the quarter. Then I will review our financial results for the first quarter before we open up the call for Q&A. Antonio?
Antonio J. Pietri: Thanks, Mark, and thanks to everyone for joining us today. After having the pleasure to meet with many analysts and investors over the last 5 months as part of our CEO transition process, I'm happy to be joining you today on my first call as the CEO of AspenTech. Our top short-term priority during the transition process was to make sure that our business continued to perform at a high level. I'm pleased to share that our first quarter results exceeded our guidance across all metrics. While the first quarter is usually our historically weakest quarter, we saw solid sales activity on a global basis. This contributed to 13.2% total license contract value growth on a year-over-year basis, and 2.5% sequentially. With a solid first quarter performance, combined with the continued strength of our sales pipeline, we believe that AspenTech remains well positioned to meet our full year growth objective. The global macro environment remains volatile, but we have not seen a material change in customer buying behavior during recent months. We continue to benefit from the combination of our market-leading position, long-term contracts that are typically 5 to 6 years in length, and the mission-critical nature of our applications. While no company is immune from a sustained worsening of the macro environment, we continue to see positive demand indications from customers. Our primary end markets remain relatively healthy on a worldwide basis, and we're in the early stages of benefiting from the innovation that we have introduced in recent years. Our business remains strong in our big 3 verticals and across our major product lines. Energy, chemicals, and engineering and construction continued to represent 90% or more of the company's business during the first quarter. During the quarter, chemicals represented the largest vertical contributor, followed by engineering and construction, and energy. Looking at our 10 largest transactions in the quarter, it was, again, a mix of engineering and manufacturing and supply chain-driven deals. We're pleased with the performance of both product suites in the quarter. Our engineering solutions continued to drive the majority of our business, and we're focused on executing against the significant opportunity we see in selling our manufacturing and supply chain solutions into our sizable owner-operator installed base. Most of our customers are using a fraction of the functionality available to them through the aspenONE platform, which provides us with a meaningful runway for growth. From a product perspective, during the quarter, we announced the availability of the version 8.3 release of the aspenONE platform. In addition to continuing to improve the integration between our broad suite of solutions and improving the user experience, our 8.3 release also included new functionality in each of our major solutions. Our new capabilities enable engineers to perform a wider range of activities across the overall process -- manufacturing design process, all inside the single modeling environment that only AspenTech provides. Our expanded capabilities are a good example of our efforts to continually make the user experience inside aspenONE simpler and more consistent. In addition, version 8.3 includes our new pressure safety valve sizing capabilities, which was a result of our acquisition of PSVPlus last year. This marks the second technology tuck-in that we have made in the last year, following the addition of solid modeling subsequent to our acquisition of SolidSim. Our aspenONE licensing model, which provides our customers with access to all of our product family capabilities and is based on usage levels, provides a powerful framework for AspenTech to introduce new capabilities through both organic means, as well as acquisitions. As we look ahead, we will continue to expand our products and functionality in order to provide greater value to our customers and drive AspenTech's long-term growth. Let me now touch on a few operational and strategic priorities that I have as CEO of AspenTech as we move forward. First, as I mentioned at the beginning of my remarks, we're focused on delivering against the growth, profitability and cash flow targets that we have shared with the investment community. The company's strategy has clearly been working, as evidenced by our multiyear financial performance. This is a strategy that I helped to shape and ultimately execute as the EVP of worldwide field operations, alongside Mark Fusco during his tenure as CEO. For a company of our size and scale, it is also critical that we continue to have the best and brightest talent, from the senior executive team down to the newest entry-level hires of the company. Each member of our senior leadership team plays a key role in our success. As such, I'm finalizing the constitution of our management team. In particular, with my expanded responsibilities as CEO of AspenTech, we're splitting my previous role as Head of Worldwide Field Operations into 2 positions: a head of global sales and a head of global services. I will continue to lead our global sales organization with the help of our experienced regional sales leaders, all of whom have worked for me during my entire tenure as the head of AspenTech's field operations. We're deep into our selection process for a global head of sales and are pleased with the quality of the candidates we're considering. The current head of global services will continue in her role, reporting directly to me. Our executive team is focused on continuing to execute against a strategy that has proven to be successful. Specifically, we will continue to focus on innovation and bringing new solutions to market. We will expand both the breadth and depth of usage of the aspenONE suite by our customers. We will improve the productivity of our overall sales organization, and lastly, from a capital allocation perspective, we will continue to use our cash in ways that we believe create shareholder value. That includes buying back our stock, such as the nearly $29 million we've repurchased during the first quarter, as well as continuing to pursue M&A to augment our internal innovation and leverage our strong relationships with the largest process, energy, chemical and E&C companies in the world. We believe that AspenTech is well positioned to continue delivering solid growth. At the same time, we will remain focused on maintaining expense discipline. We're fortunate to have a highly scalable business model characterized by long-term contracts, best-in-class renewal rates and our unique token-based aspenONE sales and licensing model. In summary, we got off to a solid start in fiscal 2014, and we believe we're well positioned to deliver against our financial targets for the full year. I'm excited to be leading AspenTech through its next phase of growth and see a significant opportunity to build a substantially larger company characterized by best-in-class profitability and cash flow generation. With that, let me turn the call over to Mark to review our financial results for the first quarter. Mark?
Mark P. Sullivan: Thanks, Antonio. Let me begin by reviewing the supplemental metrics that we provide, starting with our term contract value or TCV metric, which measures the renewal value of our multiyear-term contracts. Growing TCV is a key focus for us, and we increase the value of the metric by adding new customers, expanding product usage and increasing prices across our customer base. Our license-only TCV was $1.69 billion at the end of the quarter, which was up 13.2% compared to the first fiscal quarter of 2013 and up 2.5% on a sequential basis. Including the value of bundled maintenance, total term contract value was $1.98 billion at the end of the quarter, which was up 15.3% on a year-over-year basis and up 2.8% sequentially. Our annual spend, which is a proxy for the value of our recurring term license business at the end of each period, specifically the annualized value of our term license and maintenance revenue, was approximately $346 million at the end of the quarter, which is an increase of approximately 11% on a year-over-year basis and 2.5% sequentially. As a reminder, the growth of our annual spend metric should be slightly lower than the growth of our license TCV metric, so there can be some quarter-to-quarter variability. License TCV is calculated using each contract's terminal year annual payment and, therefore, takes into consideration the total price escalation over the course of a multiyear time period, whereas annual spend only takes into consideration the current year's level of spend. Now let me turn to our quarterly financial results on a GAAP basis. Total revenue was $87.6 million, was up 22.5% from $71.5 million in the prior year period and was above the high end of our guidance range. Before discussing the details of our revenue, I'd like to highlight a change to the way we're reporting our revenue line items, beginning with the first quarter of fiscal 2014. As we've discussed previously, maintenance is included as part of our aspenONE arrangements. And now that we're in year 5 of our 6-year revenue transition, most of our maintenance revenue has migrated to the subscription and software line. Moving forward, the revenue associated with our legacy term and perpetual maintenance agreements will continue to migrate to our aspenONE arrangements, and legacy maintenance revenue will continue to decrease. Since we assess our legacy maintenance revenue within the broader context of our software licensing business, and since both subscription and software and maintenance revenue are recurring revenue sources that share the same ratable revenue recognition methodology, we've decided to reclassify the remaining legacy maintenance revenue to subscription and software revenue. Prior to the first quarter of fiscal 2014, this revenue was reported in the services & other line item. In the first quarter of fiscal 2014 and moving ahead, our services & other revenue line item will only include professional services, training revenue and revenue from miscellaneous sources. The change in reporting is a natural step as AspenTech completes its revenue model transition, which will ultimately leave the company with subscription revenue that is greater than 90% of total revenue, and services & other revenue that is less than 10% of total revenue. With long-term contracts and best-in-class renewal rates, we will have a revenue model that provides a high level of visibility and predictability. Lastly, I would like to point out that we will continue to provide transparency into the details of our revenue streams in our SEC filings, and we've posted a table in the Investor Relations section of our company website, in the Investor Presentations tab that shows the revenue components on a before-and-after basis for each quarter of fiscal 2013. With that background, subscription and software revenue was $78.7 million for the first quarter, which is an increase from $63.8 million in the prior year period and $73.8 million last quarter. Services & other revenue was $8.9 million compared to $7.7 million in the year-ago period and $9.5 million last quarter. Turning to profitability. Gross profit was $75.5 million in the quarter with a gross margin of 86%, which compares to $59.1 million and a gross margin of 83% in the prior year period. There can be some variability in gross margin on a quarterly basis as we complete our revenue model transition. Operating expenses for the quarter were $50.6 million compared to $50.2 million in the prior year period. Total GAAP costs, including cost of revenue, were $62.7 million, which was up slightly from $62.5 million in the year-ago period. Sequentially, expenses were down from $67.9 million last quarter due to normal expense patterns and good expense management. Similar to the commentary regarding the reclassification of maintenance revenue, we've also reclassified the cost of providing maintenance to subscription and software cost of revenue, beginning with the current fiscal quarter. Operating income was $24.8 million for the first quarter of fiscal 2014 and increased compared to operating income of $9 million in the year-ago period. Net income for the quarter was $15 million or $0.16 per share compared to net income of $4.4 million or $0.05 per share in the first quarter of fiscal 2013. Turning to non-GAAP results. Excluding the impact of stock-based compensation expense, restructuring charges and amortization of intangibles associated with acquisitions, we reported non-GAAP operating income for the first quarter of $29.5 million and non-GAAP net income of $18 million. This compares to non-GAAP operating and net income of $13.4 million and $7.3 million, respectively, in the year-ago period. Our non-GAAP EPS was $0.19 in the first quarter of fiscal 2014, based on 94.5 million shares outstanding, compared to non-GAAP EPS of $0.08 based on 95.7 million shares outstanding in the first quarter of fiscal 2013. A reconciliation of GAAP to non-GAAP results is provided in the tables within our press release, which is also available on our website. Turning to the balance sheet and cash flow. The company ended the first quarter with $221.5 million in cash and marketable securities, a decrease of $3.3 million from the end of last quarter. We generated $25.9 million of cash from operations during the first quarter and $24.8 million of free cash flow. This was offset by $28.9 million that was used to buy back stock in the quarter. Our growing subscription business positively impacts our deferred revenue balance, which was $232.3 million at the end of the first quarter, representing a 29% increase compared to the end of the year-ago period. On a sequential basis, deferred revenue increased approximately $1 million. I'd like to close with some thoughts regarding our financial outlook for fiscal 2014, as well as guidance for the second quarter. Before doing so, I'd like to reiterate that even though we are now in year 5 of our revenue model transition and we are generating material profitability, our P&L is still not a completely meaningful indicator of our business performance, and it won't be until our revenue model transition is complete in fiscal 2015. With that said, we expect second quarter revenue in the range of $87 million to $89 million, non-GAAP operating income of $25 million to $28 million and non-GAAP EPS of $0.16 to $0.18. On a GAAP basis, we expect second quarter operating income of $22 million to $24 million and EPS of $0.14 to $0.16. As you may recall, our second quarter results for the past couple of years have included cash-basis software revenue from some sizable contracts, where payments are due near the end of the quarter. Revenue from these cash-basis deals totals approximately $4 million, and consistent with prior years, our guidance assumes that the revenue associated with these transactions is not recognized until the third quarter. Now let me turn to our full year guidance. From a revenue perspective, we are increasing our guidance to $360 million to $368 million, which is up from our initial guidance of $353 million to $363 million. From an expense perspective, we are adjusting our assumption for total GAAP costs and expenses to $265 million to $270 million, which compares to our initial guidance of $265 million to $275 million for the full year. Taken together, we expect GAAP operating income in the range of $90 million to $98 million, net income in the range of $56 million to $61 million and GAAP EPS of $0.59 to $0.65. This is up from our initial guidance of GAAP operating income of $78 million to $88 million, net income of $46 million to $52 million and GAAP EPS of $0.48 to $0.55. From a non-GAAP perspective, we now expect non-GAAP operating income in the range of $104 million to $112 million, which is up from our initial guidance of $94 million to $104 million for the full year of fiscal 2014. This will lead to non-GAAP earnings per share in the range of $0.69 to $0.74, which is an increase from our initial guidance of $0.60 to $0.66 for the fiscal year. With respect to total license contract value growth in fiscal 2014, we continue to target a double-digit growth rate over fiscal 2013 and remain optimistic about our outlook based on continued high customer interest levels. From a cash flow perspective, we are reiterating our fiscal 2014 guidance of approximately $160 million of free cash flow. Consistent with prior years, we expect our free cash flow to be weighted to the back half of the fiscal year, with the third quarter being the largest contributor to free cash flow. This is due to the timing of when we invoice customers and their payments become due. To summarize, we are pleased with the underlying momentum in our business and the improving profitability and cash flow-generating characteristics of the company, and believe we are well positioned to deliver a solid, operational performance in fiscal 2014. With that, we are now happy to take your questions. Operator, let's begin the Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Richard Davis from Canaccord.
Richard H. Davis - Canaccord Genuity, Research Division: So the question I have, and again, from some investors, is just when -- you're kind of in the middle of some interesting dynamics with regard to upgrades and those kind of things. Kind of at least at a high level, what is the -- how should we think about this in kind of terms of economics standpoint? In other words, I'm an existing customer. Do I have to pay -- what is the revenue impact? Because I assume there are some professional services to get -- maybe a little bit to get it going, but do I generate same-store sales to Aspen by using more tokens or more modules or something like that? Or just notionally, at least, how should we think about it at a high level?
Antonio J. Pietri: So Richard, when you say same-store sales, meaning same customer?
Richard H. Davis - Canaccord Genuity, Research Division: Yes, correct.
Antonio J. Pietri: I don't know if I understand the question correctly, but let me make an attempt to answer it. The way we think about this is through usage, and if users is -- having the same user use more of our software and having new users start using our software. So it's sort of a -- and then from there, it's about going deep into our customer base, and then we try to go across the multiple business segments that they have, from upstream, midstream now with shale gas refining, and then downstream on the chemicals side, sort of similar, and there is more manufacturing and supply chain. And what we try to do is to really focus on getting them to use more of our software. As I mentioned in my remarks, most of these customers are using only a fraction of our software, and there's an opportunity to get them to use more of it.
Operator: Your next question comes from the line of Peter Goldmacher from Cowen.
Peter L. Goldmacher - Cowen and Company, LLC, Research Division: 1 or 2 quick questions thinking about next year. Exiting this year will sort of be the end of the growth rate that's been partially boosted by renewing out your contracts a little bit early. So if we think about growth rate in total contract value when the model is at a normalized rate, you're not going to get the benefit of redoing anything, really. How should we think about that growth rate?
Antonio J. Pietri: Well, I mean, we look at our business on a growth basis. When we think of our pipeline, we think of it on a growth basis and not a bookings value basis, which, I think, is what you're referring to by the renewal. So our pipeline ratios represent our ability to grow our business over time. Our guidance, which is guidance through the end of fiscal 2014, is based on that basis, and we're comfortable with what we see through the end of FY '14 and our guidance.
Peter L. Goldmacher - Cowen and Company, LLC, Research Division: So exiting this -- once the normal goes steady-state, that total contract value that you shared with us, that growth rate, that 13.5% growth rate, should stay, you think, relatively steady?
Antonio J. Pietri: Well, I mean, we only provide guidance beyond -- our guidance is through the end of 2014, fiscal year 2014. We don't comment beyond that. But we're continuously working on our pipeline. Certainly, one of our metrics internally is looking at our 5-quarter pipeline, and I'm satisfied with the pipeline ratios that we see for our business.
Operator: Your next question comes from the line of Sterling Auty from JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: I jumped on a little bit late, but just wondered, within the context of the guidance that you gave on the cost side, how should we think about the sales and marketing investment and where that sales and marketing investment is going? Is it growth in sales heads? And how much of it might be sales infrastructure and advertising?
Antonio J. Pietri: Well, look, over the last year, most of our investment in sales has gone into our inside sales organization and growing that headcount to maintain what we think is a healthy rate of growth of our small customer segment market. Going forward, I can envision certainly continuing to invest in our inside sales organization. We have new traction in some of the emerging markets, where we established new organizations over the last 3 or 4 years, and that will also require some incremental headcount. And I think there's still productivity gains to be had in our sales organization. And as this company gets bigger, we'll also look at systems and infrastructure, as you say. But I think through the end of FY '14, it's primarily headcount towards the second half of the year.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: And maybe one follow-up on the macro side. As you look at some of the data that's coming out of China and a little bit of improvement in Europe, I know you look within each customer, but are you getting a sense that they're going through their budgeting process, that the budgets that support the purchasing of your software are going to be flat, down or up? And just how comfortable in terms of that growth are you?
Antonio J. Pietri: Okay. So with respect to China, look, we're satisfied with our business in China. Regardless of budgets, it's always a difficult place to do business in. Chinese customers demand a lot, but we're satisfied with our business there. And with regards to Europe, we continue to experience good growth there despite the macro environment in Europe across-the-board, both chemicals refining and the engineering and construction segment. So what their budgets will mean to us, I don't know. But again, we focus -- my primary metric, if you will, when I'm looking at our customers is pipeline and our ability to drive growth. And the budgets will be there. Our software delivers tremendous value. And I believe that if our customers want that value, they'll find ways to fund those investments.
Operator: Your next question comes from the line of Brendan Barnicle from Pacific Crest Securities.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: I wanted to ask a product question, a little bit about sensor data. We've heard a lot about that, and I'm starting to wonder how often you guys are seeing it and where there may be an opportunity, given all the, I assume, sensors that are used in a lot of the process industry, where you guys might be able to tie into that more?
Antonio J. Pietri: Yes. And just to clarify, when you talk about sensors, you mean some of the measurement systems in plants, refiners, chemical plants?
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: That's right, yes.
Antonio J. Pietri: So look, our real-time data management software, InfoPlus.21, IP.21, is tied to the distributor control systems. We don't go directly to the sensors. The DCS systems, distributor control systems, are the ones that are connected to the sensors in the plant. We tie to the distributor control systems, and that's how we get access to real-time information for our customers and information that our applications need to use to optimize and run those processes. So we're already in that space, if you will.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: Great. And then Mark, just a quick one. Maybe I missed it if you hit on it. But the upside in the free cash flow is significantly higher than what I had expected or what we've seen, I think historically, seasonally. What was, in particular, driving that upside?
Mark P. Sullivan: Well, I mean, the full year guidance is obviously up, and as you know, cash flow can be very dependent on what happens to get collected, particularly right at the end of a quarter. So I think for us, cash flow is pretty much in line with what we expected for the first quarter. We reiterated our full year guidance, but cash flow is a number that we're going to look at closely. Obviously, we always do as we go through the year and see how the year develops and how collections come in. And we'll update that number as we go through the year if it's appropriate, but first quarter was kind of in line with what we expected.
Operator: Your next question comes from the line of Bhavan Suri from William Blair & Company.
Bhavan Suri - William Blair & Company L.L.C., Research Division: Just to touch first on the investment in inside sales that you mentioned, Antonio. Can you give us a sense of how this small customer segment is faring and maybe a little color of how much of the business it makes up today and the growth rate you're seeing there?
Antonio J. Pietri: Well, look, we've put, I would say, a material increase in headcount into our inside sales organization in the Q4 quarter. It is -- that investment is starting to get traction. We didn't see the full traction of that investment in Q1, but we're very happy with the growth result that we saw from that group. I would expect that as time goes on, that those additional headcount continue to deliver at higher productivity than they did in Q1. But nonetheless, our growth rate in that segment is quite satisfactory for us, and we will continue to invest in it as we see necessary.
Bhavan Suri - William Blair & Company L.L.C., Research Division: Great, great. And then any color on sort of how much of the business or bookings that is? Obviously, in that business, you're charging on a per-seat basis than a token basis, right?
Antonio J. Pietri: Yes, that's right. We go to market in that segment through seats. A seat is basically based on a desktop computer, and the customers get access to all of our software, nonetheless, for the engineering suite. We don't break down the growth rates by segments, and this is one of the segments, but we're very happy with the performance of that group.
Bhavan Suri - William Blair & Company L.L.C., Research Division: Okay, great, great. And then as you look at some of the newer products, the advanced controller technology, the rig optimization suite that are helping drive the conversion of perpetuals, sort of any color on sort of how many customers of your 1,700-odd are still on perpetual licenses and how that's progressing?
Antonio J. Pietri: Well, the progression of the conversion of perpetual licenses to term business has been a journey of many years. It continues. Of course, after so many years, there's less perpetual licenses out there, but there's still a runway to go through. As customers get to the new commercial model, that is an indication, really, as well of our ability to move customers from perpetual to term licenses. And it's still there, and it is a component of our growth, but becomes less so as we move into the future.
Operator: Your next question comes from the line of Mark Schappel from Benchmark.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Antonio, the E&C part of your business, I believe, has grown from about 20% of total sales, say, a few years ago, to about 30% today. I was wondering if you could maybe give us the factors that you would attribute to the growth of that, whether they be macro or just better execution or maybe market share gains?
Antonio J. Pietri: Well, I mean, look, I think -- if I think about that segment, that industry, E&C, certainly, the aspenONE licensing model, it's been a contributor, our ability to, like I said at the beginning, expand the number of products that our user is using and expand the number of users in those E&Cs that are using our software. And over the last couple of years, 2, 3 years, the innovation that we've introduced, the integrated workflow environment that we've created in that whole area is driving more usage of the software. The macro environment has been favorable in that industry. Certainly, there's a lot of construction going on in the world, and we continue to see that sustaining itself. But I think it's multiple factors contributing to that.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay, great. And then, Mark, for modeling purposes, how should we think about the tax rate for the rest of the year?
Mark P. Sullivan: Well, I think the tax rate was kind of in the high-38% or mid-38% range. And clearly consistent with what we've said, since most of our income will be U.S.-based, it will trend toward 36-ish rate over time. The difference being the fact that we have some permanent items in there that are now becoming less and less significant as the income level grows, but we'll trend toward 36%. And we haven't given any guidance for this year, but it's starting to look more normal here in the first quarter, with, again, about 38.5% rate.
Operator: Your next question comes from the line of Richard Williams from Cross Research.
Richard T. Williams - Cross Research LLC: I wonder if you could give color on the supply chain business?
Antonio J. Pietri: Well, look, Richard, supply chain business continued to perform in line with fiscal 2013. And really, we group it as manufacturing and supply chain. We're satisfied with what we're seeing in that market, and we continue to drive penetration into that market. Some of the innovation released over the last 3 years in our chemical supply chain solution is getting traction, and we're confident that we're going to continue to see good results in that segment.
Richard T. Williams - Cross Research LLC: Also, could you give color on the geographies?
Antonio J. Pietri: Yes. We had very balanced performance across the world. There isn't -- there really isn't anything that I can speak to. I'm happy with the traction that we now have in our Middle East business. That was an investment that we started putting in there 4 years ago, and now we have good traction. Russia is a good region, and in general, a very good balanced performance across the world.
Operator: At this time, there are no further questions. I will now turn it back over to management for closing remarks.
Antonio J. Pietri: Okay. Yes, again, I'd like to thank everyone again for participating in the call. Our first quarter was a strong start to the year. I feel good about our outlook for the remainder of the year, and look forward to speaking to you in our next quarter.
Operator: Thank you. That concludes today's conference call. You may now disconnect.